Operator: Good day, everyone, and welcome to the PBF Energy First Quarter 2024 Earnings Conference Call and Webcast. [Operator Instructions]
 Please note, this conference is being recorded.
 It is now my pleasure to turn the floor over to Colin Murray of Investor Relations. Sir, you may begin. 
Colin Murray: Thank you, Abbie. Good morning, and welcome to today's call. With me today are Matt Lucey, our President and CEO; Karen Davis, our CFO; and several other members of our management team.
 Copies of today's earnings release and our 10-Q filing, including supplemental information, are available on our website.
 Before getting started, I'd like to direct your attention to the safe harbor statement contained in today's press release. Statements in our press release and those made on this call that express the company's or management's expectations or predictions of the future are forward-looking statements intended to be covered by the safe harbor provisions under federal securities laws. There are many factors that could cause actual results to differ from our expectations, including those we describe in our filings with the SEC.
 Consistent with our prior periods, we will discuss our results today excluding special items. In today's press release, we described the noncash special items included in our quarterly results. The cumulative impact of these items increased fourth quarter results by an after-tax amount of approximately $900,000, or $0.01 per share, primarily related to a change in the fair value of contingent consideration associated with the Martinez acquisition and our share of St. Bernard Renewables LLC lower-of-cost-or-market inventory adjustments, which were partially offset by an adjustment to the gain on the formation of SBR. Also included in today's press release is further guidance information related to our expectations for the second quarter throughput. For any questions on these items or follow-up questions, please contact Investor Relations after the call.
 For reconciliations of any non-GAAP measures mentioned on today's call, please refer to the supplemental tables provided in today's press release.
 I'll now turn the call over to Matt Lucey. 
Matthew Lucey: Thank you, Colin. Good morning, everyone, and thank you for joining our call.
 While markets early in the quarter reflected somewhat typical seasonal weakness, industry maintenance and the increasing consumer demand through the quarter helped strengthen the markets as we progress from the mild winter into spring.
 With that backdrop, Toledo and Delaware City refineries underwent significant turnarounds beginning in late February and in early March. We completed the Toledo turnaround in mid-April. The Delaware City FCC is in the midst of start-up today.
 Despite the impact of the turnaround in Toledo, we did benefit from attractive Syncrude pricing, which improved our capture rate in the quarter. That said, Syncrude differentials have now normalized.
 Operations at Chalmette were as planned, with no significant issues during the quarter. We do have a turnaround plan for the fourth quarter at Chalmette.
 Our West Coast refining system was impacted by the carryover of issues from Q4. Capture rates were negatively impacted by higher-priced inputs flowing through the system.
 Turnaround work has begun at Martinez on the hydrocracker and other associated units. We expect to complete this work in the second quarter and should have a clear operational runway for the remainder of the year for the West Coast.
 We continue to see strength and demand for our products across all operating regions, and inventories remain tight.
 We ended the quarter in a net cash position. The completion of our balance sheet transformation in 2023 provides PBF with the ability to deliver shareholder returns across market cycles and the flexibility to take advantage of market opportunities should they appear.
 We continue to demonstrate our commitment to returning cash to shareholders, with approximately $125 million of share repurchases in the first quarter. In addition, our board of directors approved the payment of our regular quarterly dividend of $0.25 per share.
 Longer term, we continue to be constructive on the global refining market. Global capacity, including new additions, and refined product demand remain tightly balanced. New capacity additions are needed to keep pace with growing global demand and offset capacity shutdowns and conversions. Geopolitics and the associated disruptions in historic trade flows continue to create tension in the market that is accruing to the U.S. refiners; specifically, coastal U.S. refiners such as PBF. In this environment, PBF should continue generating strong earnings, free cash flow and promoting long-term value for our shareholders.
 Before turning the call over to Karen, I'd like to take an opportunity to publicly introduce and welcome our new Head of Refining, Mike Bukowski. Our previous Head of Refining, Steve Steach, is set to enjoy a well-deserved retirement after a long and successful career. Mike joins us with over 30 years of refining experience, and we are excited that he's bringing his deep expertise and new perspectives to PBF operations. Our focus remains on the safe and reliable operations of all our assets, and we believe Mike will help us to elevate our performance across the system.
 With that, I'll turn it over to Karen. Karen? 
Karen Davis: Thank you, Matt, and good morning. For the first quarter, we reported adjusted net income of $0.85 per share and adjusted EBITDA of $301.5 million.
 Earnings per share included a benefit of $0.04 per share related to a reduction in our effective tax rate to approximately 21% due to the exercise of employee stock options during the quarter. We expect our effective tax rate to return to the normalized range of 24% to 26%.
 Also included in the PBF results is an $800,000 loss related to our equity investment in St. Bernard Renewables. Stand-alone EBITDA for SBR after backing out the lower-of-cost-or-market adjustment was approximately $4 million.
 We completed a catalyst change and some optimization work in Q4, allowing us to produce an average of 18,000 barrels per day of renewable diesel in the first quarter. We expect similar production levels in the second quarter.
 Cash flow from operations for the quarter was approximately $293 million, excluding a working capital headwind of approximately $278 million. The main drivers of the working capital headwind relate to cash outflows of approximately $100 million due to the tightening of our hydrocarbon net payable position, which was magnified by the impacts of our turnaround activities during the quarter. There was also a payout of accruals related to employee compensation of $110 million, a payment under the tax receivable agreement of $45 million and approximately $25 million of other items in the aggregate.
 Consolidated CapEx for the first quarter was approximately $285 million, which includes refining, corporate and logistics. Full year 2024 guidance remains in the $800 million to $850 million range, which includes about $50 million of discretionary strategic CapEx.
 We continue to demonstrate our commitment to shareholder returns by returning approximately $155 million to shareholders in the first quarter, which included dividends and share repurchases. Since the repurchase program was introduced in December of 2022, through the end of the first quarter we have completed approximately $814 million in share buybacks. This represents over 14% of our outstanding shares at the beginning of the program. We have reduced our total share count to approximately 119 million shares as of March 31, 2024.
 We ended the quarter with over $1.4 billion in cash and approximately $1.2 billion of debt. Also of note, the final payment of the Martinez earnout now stands at approximately $19 million, and we expect this payment will be made in the second quarter.
 Maintaining our firm financial footing and strong balance sheet remain priorities. To the extent our operations continue to generate cash beyond the needs of the business and the requirement to continuously invest in our assets, a greater percentage of that cash should be available for shareholder returns. Sustainable dividends and share repurchases are important components of our overall long-term capital allocation and shareholder return objectives. As always, we will look at all opportunities to allocate capital through the lens that directs cash to the option that generates the greatest long-term value for our shareholders.
 Operator, we've completed our opening remarks, and we'd be pleased to take questions. 
Operator: [Operator Instructions] Your first question comes from the line of Roger Read from Wells Fargo. 
Roger Read: I guess, if we could, maybe this is a question for the new refining guy. And welcome, Mike. Crude differentials, we've been hearing a lot about sort of tighter light heavies out there. You're going to get probably the opposite of that on the West Coast. Just curious how you're looking at crude availability, how much WCS you could run on the West Coast and then how that maybe shakes out across the Gulf Coast and the East Coast. 
Matthew Lucey: I'll start, Roger. I think we've disclosed on previous calls that we think we're going to be able to run about 40,000 barrels a day through our refineries on the West Coast, but it's way early days. Obviously, all the [ processes are reporting ] that the pipeline is getting up and running, but the ship hasn't been loaded yet.
 And indeed, we are getting inbounds on a daily basis, and it will simply go into our calculations as we calculate the economics around all available crudes. But incremental crude to the West Coast is going to be directionally positive.
 There have been some gyrations in the crude market, as Pemex has given different signals at different times over the last couple of weeks, couple of months. But broadly speaking, crude differentials look very, very attractive at the moment.
 Paul, do you want to make any other comment? 
Paul Davis: I think you said it pretty much right. The Gulf Coast had some gyrations because of Pemex's moves, but currently, we see actually a pretty attractive light-heavy spread on crudes, mainly in the Gulf Coast. We're seeing tightening in Canada, obviously, with the fill process of TMX, but in general, we see pretty constructive light heavies. 
Roger Read: Okay. Appreciate that. And then the other follow-up, or the follow-up, I'm sorry, SBR with the performance thus far, if you could kind of compare that to what you expected and what you'd kind of look at for Q2, like what you've seen to date and how that's been coming along. 
Matthew Lucey: I think the SBR, if one was to assess how is SBR doing, it has to be tethered by the market. So if you compare SBR's performance today compared to the actual performance what would have taken place a year ago in a very different market. We haven't been in operations yet a full year, but here's what I'd say on SBR. One, maybe most importantly, we could not be more pleased with the partnership that we have with SBR with Eni. That's going well. I think both partners are adding value. Our interests are aligned, and both partners are committed to making sure that SBR is set up for success.
 We absolutely believe we're in the right spot to deliver the best financial performance for RD being in the Gulf Coast, having access to different grades of feedstocks and having optionality on where we can deliver products.
 We are pleased that we got the provisional CI score this quarter. That will improve our financial performance, going forward.
 But in regards to how is the unit running, the unit, I would say, is running fine. There's been some lessons learned. I think there's a number of opportunities in front of us, small iterative improvements that will make small iterative impacts. But when you compile them all together, I think it will be significant.
 So I think SBR is set up to be a top-quartile renewable diesel manufacturer in the U.S., with feedstock flexibility and product disposition flexibility.
 Clearly, the market is soft. RINs have come down, LCFS credits are down. And that really drives profitability there. But the reality is for the weaker players in RD, and certainly bioplayers, they're probably cash flow negative. And so how long does it take the market to flush all that through? Time will tell. 
Operator: Your next question comes from the line of Ryan Todd from Piper Sandler. 
Ryan Todd: Maybe starting out with one on cash flow and the balance sheet. I mean, last year a significant portion of your free cash flow generation, I think probably somewhere around $1.3 billion, went to the balance sheet in the form of environmental liability reduction and closure of the J. Aron inventory agreement. As we think about 2024, can you talk about what, if any, kind of remaining calls there are on the balance sheet, whether it's environmental liabilities or anything like that, that could have the impact on cash flow generation and what that might mean for incremental shareholder returns this year? 
Karen Davis: Sure. Ryan, thanks for the question. And I think we've said we feel like the balance sheet cleanup is done. There really aren't any additional initiatives that we're looking forward to.
 I think one thing that we all noticed in this quarter was that there was a significant working capital headwind. A lot of that relates to turnarounds. Turnarounds can create a lot of noise in working capital. Depending on the units involved during turnarounds, we see crude [ slates ] changing. We produce more intermediates that we either sell or we store and consume them later. We produce less higher-value products. And sometimes, we have to go out and buy finished products to fulfill contractual obligations. So in addition to impacting capture, these factors oftentimes have different payment terms which change the timing of payments and collections.
 And we've been in a pretty heavy turnaround period, starting back in the fourth quarter on the West Coast, where, as Matt mentioned, we had to consume some higher-priced crudes into the first quarter, and we also paid for them then. And now we've had the Delaware and Toledo turnarounds in the first quarter, completing in the second quarter, and the Martinez turnaround in the second quarter.
 So as we come out of those, we would expect these sort of turnaround-related headwinds will begin to reverse, and we're going to see some positive free cash flow generation, which would be available for shareholder returns. 
Ryan Todd: And maybe a follow-up on some of your earlier comments on SBR. I appreciate kind of the commentary on operations. Can you maybe talk about what type of feedstock mix have you been running up to this point? And how might that change in the coming months? And what impact could that have on profitability, going forward? 
Matthew Lucey: The biggest thing with that is the provisional CI score where, as before, it was predetermined, so it predisposed what feedstocks you were going to run because you weren't getting full credit for others. But now essentially, we have an open LP. And I'm not going to make any comments on what we're going to run because we're going to run the most economic grades available, whether that's a fat, grease, tallow or vegetable oil.
 We've been pleased with our access to the feedstock market. And so as the market develops, we're going to just make sure we get the most economic grades. And we're not limited or constrained in any respect. 
Operator: Your next question comes from Manav Gupta from UBS. 
Manav Gupta: Guys, my question is a little bit on the refining macro. We have seen some pullback in refining cracks of late. We saw that last year also, right? Cracks came in, and then completely rebounded, went the other way. And I'm just trying to understand, is it a repeat of last year? What are you seeing out there? Are the inventory markets still pretty tight? Russia situation? So your near- and medium-term outlook for both gasoline and diesel markets. 
Unknown Executive: Thanks, Manav. It's Tom. In terms of what we're seeing in the market, I mean, I think we kind of really look at the seasonal shift into gasoline season from coming out of the first quarter, going from winter to summer gasoline, which so far in the beginning of driving season, the gasoline market has been the leader of refining margins. Distillate did have a pullback in terms of a warm winter and then ultimately kind of some stability, which has kind of come into the market in terms of, maybe even call it, complacency. As you mentioned, there's been lots of disruptions in the diesel market. But the rate of change in terms of just trajectory on inventories has flattened from a perspective of where it's been in the past. So a little bit of the fear of sort of the driving of price needing to do solutions for distillate has been solved in the sort of nearer term. But now at this point, we're going to be looking at a stronger gasoline market, which will clearly be affecting yields, where refiners have incentive to produce more gasoline, less distillate. And certainly, as we go through driving season at that point the baton will be passed back to distillate for market leadership, and you'll be sitting there with what we would think would be a reasonable setup going into the second half of the year or, particularly, in the fourth quarter as it relates to diesel. 
Manav Gupta: Perfect. My quick follow-up is, and this is very commendable, is what you have done with Martinez refinery. It's delivering an excellent performance. When you acquired this refinery, I think there was a little bit of an earnout. And I'm not sure where you are in that process. Are there any more earnout payments due at this point for that Martinez asset that you bought? 
Matthew Lucey: Completely behind us, Manav. So we did make our last payment. I think Karen mentioned that. But yes, so that is completely over. 
Operator: Your next question comes from Matthew Blair from TPH. 
Matthew Blair: Could you talk about the moving parts on capture as we move into the second quarter here? You mentioned that in the Mid-Con likely to see tighter Syncrude differentials, which should be a headwind. And in the West Coast, I think there should be some tailwinds from just rolling off that higher-cost inventory in Q1. Are there any other big moving parts that we should consider here? 
Matthew Lucey: I don't think so. I mean, you have to watch crude differentials every day. That certainly impacts our business in a material way, and there's been some volatility there. But no, I wouldn't call anything else out. 
Matthew Blair: Sounds good. And then we would have thought that the East Coast Q2 throughput guidance might have been a little bit higher. It sounds like that Del City turnaround was still a factor in April. Any other reasons why the throughput outlook for the East Coast in the second quarter isn't a little bit stronger? 
Matthew Lucey: I would just say that, literally, today, Del City is coming out of turnaround and start-up. And I can assure you if we're going to be incented to go and blow, which I believe we will be, we will be, but you had a major turnaround on the only cat cracker we have on the East Coast and some ancillary equipments beyond that. So certainly, April was impacted because all of April was impacted essentially there. But now we have a clean runway. Get the unit up, and we'll be able to go. 
Operator: Your next question comes from Paul Cheng from Scotiabank. 
Paul Cheng: Matt, or maybe Mike, if the Toledo maybe capacity is still at 180, because it seems like in the recent years that, that facility, even with a turnaround, like in the second quarter, you're still running at around 80%. Is that the right run rate, going forward? Or is there something that hinders your ability to run at a higher rate? I assume it's not the economics, because the economics should justify for running at a higher rate. That's the first question.
 Secondly, I think for Karen, you mentioned that first quarter the West Coast will still carry from the fourth quarter high-priced inventory impact. Could you quantify for us how big is that impact? 
Matthew Lucey: In regards to Toledo, I don't think you should have Toledo down as 180,000 barrels a day. It simply doesn't run that high. Mike, incidentally, ran Toledo going back over 20 years ago through predecessor companies. Mike, any other comment on Toledo. 
Michael Bukowski: I agree, 180 is a high number. And it just came out of the turnaround, and it's well set up to run real strong throughout the rest of the quarter and the rest of the year. 
Matthew Lucey: Great. 
Karen Davis: And as for the West Coast carryover effect, I don't think we have quantified that specifically, but it was just one of the components of the lower capture rate there. 
Operator: [Operator Instructions] Your next question comes from Joe Laetsch from Morgan Stanley. 
Joseph Laetsch: So I wanted to ask on throughput in the first quarter. So it looked particularly strong to us on East Coast and Mid-Con. I was just hoping you could talk through some of the drivers of the outperformance. Just a better execution on turnarounds? Or how should we think about that. 
Matthew Lucey: Look, we're running as to the max where we can grab economics. Like I said, the East Coast was impacted because we had to take a turnaround. Obviously, our results would have been much, much better had we not had to take turnarounds. But the market is set up, I think, very, very well on the East Coast. And I'm very pleased to think for the remainder of the year we have a clean runway.
 And as I said, Toledo, it wasn't as big of a turnaround in Toledo as it was on the East Coast, because it was the hydrocracker and a machine that's really configured to make gas, more gasoline. So we were able to have more of our operations going in Toledo.
 And then really benefited from crude pricing, which rolled through the system in the first quarter. 
Joseph Laetsch: Great. And then shifting gears, I just want to go back to the West Coast. So we've seen some capacity shutdowns recently, conversions as well. So I was just hoping you could talk to the latest dynamics you're seeing out there on the West Coast from a supply-demand perspective. 
Matthew Lucey: Look, the question is supply and demand, and I think demand looks very constructive and supply is constrained. Obviously, you can bifurcate between diesel and gasoline. And diesel will be reasonably supplied, with the incentive to deliver renewable diesel into the state or, if refineries have shut down or converted, the manufacturing at a similar amount of diesel as to what they were prior to being shut down. But you convert a refinery to make 100% RD or SAF down the road, you're not making any gasoline or any of the other products coming out of it.
 So the market hasn't fixed the supply problem, and we're going to do our part to supply the state as best we can with 2 of the strongest refineries out there. And I think it's set up to be volatile, and it will have to attract imports. 
Operator: Your next question comes from Jason Gabelman from Cowen. 
Jason Gabelman: My first question is kind of dovetailing off the last question on the West Coast. You have the hydrocracker turnaround in 2Q. I believe that's more of a diesel-making unit than gasoline-making unit. And obviously, gasoline should lead the complex in the second quarter. So could you just talk through the turnaround's impact on the ability to capture that gasoline margin on the West Coast in 2Q? 
Matthew Lucey: I think your assessment is correct, meaning a smaller impact certainly than the East Coast in the first quarter. 
Jason Gabelman: Okay. Great. And then the second question is on a comment that was made in the prepared remarks about potentially increasing the percentage of cash that is available to shareholder returns. I think in 2023, it looked like about 50% of cash flow from ops went to shareholder returns. Is it reasonable based on your comments to assume that that percentage is going to move higher in the near term? And is that the right metric to look at when assessing shareholder returns, kind of percentage of CFO? Or is there another way we should look at it? 
Matthew Lucey: I'll make one comment and then turn it over to Karen. Just my only comment, and I've made this before and certainly at conferences, I personally don't like formulas, because no one ever tends to stick with them and in different markets you're going to get different answers. And so we're trying to make the best decisions we can based on the market we just experienced, the outlook ahead and the cash that we're generating and try to drive as much shareholder value as we can, as opposed to sticking with a predetermined formula that may or may not be stale and has an infinite number of variables that can impact it.
 Karen, would you make any other comments? 
Karen Davis: Just would add that our goal with respect to share repurchases is to make it sustainable through all market conditions, which is why you saw us continue to repurchase shares this quarter when we did not generate free cash flow. So I think you should look at our past, our track record as an indication of our commitment to the program, going forward. 
Jason Gabelman: Got it. And just if I could sneak one more in, kind of tied to the shareholder returns and available cash, can you remind us if there are any large growth projects that you're pursuing currently? Or anything that is going to come up in the near term? 
Matthew Lucey: No, sir. The answer is we're not pursuing anything, not that I won't answer it.
 All right, everyone. Well, I appreciate your participation on the quarter. Like we've said, I think the outlook is quite constructive, and we look forward to continue to deliver strong returns for our shareholders. Appreciate it, and have a great rest of the day. Thank you. 
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.